Operator: Hello, everyone. Thank you for attending today's GFL Third Quarter 2025 Earnings Call. My name is Ken, and I will be your moderator today. [Operator Instructions] I would now like to pass the conference over to our host, Patrick Dovigi, the CEO and Founder of GFL. Please go ahead.
Patrick Dovigi: Thank you, and good morning. I would like to welcome everyone to today's call, and thank you for joining us. This morning, we will be reviewing our results for the third quarter and updating our guidance for the full year 2025. I'm joined this morning by Luke Pelosi, our CFO, who will take us through our forward-looking disclaimer before we get into the details.
Luke Pelosi: Thank you, Patrick. Good morning, everyone, and thank you for joining. We have filed our earnings press release, which includes important information. The press release is available on our website. During this call, we will be making some forward-looking statements within the meaning of applicable Canadian and U.S. securities laws, including statements regarding events or developments that we believe or anticipate may occur in the future. These forward-looking statements are subject to a number of risks and uncertainties, including those set out in our filings with the Canadian and U.S. securities regulators. Any forward-looking statement is not a guarantee of future performance, and actual results may differ materially from those expressed or implied in the forward-looking statements. These forward-looking statements speak only as of today's date, and we do not assume any obligation to update these statements, whether as a result of new information, future events and developments or otherwise. This call will include a discussion of certain non-IFRS measures. A reconciliation of these non-IFRS measures can be found in our filings with the Canadian and U.S. securities regulators. I will now turn the call back over to Patrick.
Patrick Dovigi: Thank you, Luke. Once again, I want to start by thanking our incredible employees whose commitment drove another quarter of exceptional performance. Our results exceeded expectations from top to bottom. For the quarter, we achieved the highest adjusted EBITDA margin in our company's history at 31.6%. All of this was accomplished despite the challenging macro backdrop and an incremental commodity-related headwind. As I said last quarter, we view the consistent delivery of record-setting results even in the face of challenges as a continued demonstration of the quality of our asset base, the effectiveness of our value creation strategies and the resilience of our business model. Near double-digit top line growth is driven by the continued success of our pricing strategies, the impact from our disciplined rigor on price/cost spread, harvesting pricing opportunities related to ancillary surcharges and incremental price discovery opportunities as well as the EPR ramping and other contract renewals were apparent in the quarter and position us now to expect pricing for the full year of 6%. Industry-leading volume performance also contributed to the top line growth. MSW volumes and the ongoing tailwinds from our recent EPR investments more than offset the impact of softer construction-orientated activity, lower manufacturing and industrial collection, C&D landfill and special waste volumes. We continue to see broader economic uncertainty impacting the level of activity in these areas of our market, but remain well positioned to participate in upside when these volumes inevitably return. Operational costs as a percentage of revenue trended lower in the quarter in response to our continued improvements in labor turnover and our ongoing focus on cost discipline, process optimization and the realization of self-help opportunities across our portfolio. The effectiveness of these cost efficiencies is seen in the margin line, where we once again delivered an industry-leading 90 basis points of adjusted EBITDA margin expansion. Luke will take you through the detailed bridge, but when you factor in the impact of commodity prices and credits realized in the year, we realized over 250 basis points of underlying margin expansion. With each passing quarter, we are proving out the business' ability to meet and exceed the industry-leading margin expansion targets we laid out in our Investor Day presentation. We also remain highly confident in the targets we set out at Investor Day for M&A. Year-to-date, we have deployed nearly $650 million into acquisitions, including approximately $50 million deployed subsequent to quarter end. We have several incremental deals in process and we will deploy incremental capital into M&A before year-end. Our M&A pipeline remains very active and anticipate transactions will close in the first half of next year as well. The rollover impact of these transactions provides us with significant growth tailwinds as we head into 2026. The strength of the base business performance and the anticipated contribution from recent M&A allow us to raise full year guidance for the second time this year. Luke will provide you with those details. In the quarter, we also completed the previously discussed recapitalization of GIP by partnering with ECP, a leading investor in critical infrastructure. The transaction valued GIP at $4.25 billion, returned approximately $585 million to GIP shareholders and added $175 million to the balance sheet to fund future growth. Since our original investment in GIP in 2022, I have consistently expressed my belief that GIP would be a vehicle for significant value creation for GFL shareholders. The recapitalization back in 2022 valued our original investment at $250 million and at over $1.1 billion, returning nearly 4.5x just over in 3 years. I believe this is yet another reflection of GFL's strength of the management team and the effectiveness of our strategy to create longer shareholder value. GFL received $200 million of the shareholder distribution and continues to own 30% of the equity of GIP that will allow us to participate in what we expect to be continued value creation from the GIP business. We are pleased with the valuation we realized on GIP and Environmental Services transaction earlier this year, but currently see a significant dislocation in the value of GFL share price and therefore, see share repurchases as an attractive opportunity to deploy capital. We repurchased $350 million of shares in the third quarter and nearly $2.8 billion of shares year-to-date. Going forward, we will continue to be opportunistic on executing share buybacks. I will now pass the call over to Luke, who will walk you through the quarter in more detail, and then I'll share some closing comments before we open it up for Q&A.
Luke Pelosi: Thanks, Patrick. Consolidated revenue for the quarter grew 9% over the prior year, driven by a 50 basis point sequential acceleration in pricing to 6.3% and 100 basis points in positive volume, which more than overcame the headwinds from commodity prices and fuel surcharges that were even greater than anticipated. The accelerated realization of incremental price discovery opportunities that we outlined at Investor Day is increasing our full year price growth expectations another 25 basis points to around 6%. Even when excluding the pricing impacts from large-scale contract renewals, both in collection and recycling processing, we continue to see pricing in excess of our internal cost of inflation, driving appropriate returns on our invested capital. Volumes grew 100 basis points as the benefits of recent growth investments and improved MSW volumes offset the ongoing softness seen in the broader macro environment. Volumes were up 5% in Canada and 0.9% behind the prior year in the U.S., inclusive of 3% lower C&D and 9% lower special waste volumes. While Q4 is expected to see negative volumes on a tough hurricane cleanup comp, we remain well positioned to benefit from a broader economic recovery. Adjusted EBITDA margin for the quarter was 31.6%, the highest in our company's history and ahead of our internal expectations. Commodity prices, which slid over 20% sequentially from Q2 and were down over 30% year-over-year, continue to be a drag on margins. M&A and the nonrecurrence of ITCs recognized in the prior year comparative quarter were also headwinds, whereas RNG and fuel prices were tailwinds. Excluding these items, underlying solid waste margins expanded 250 basis points. Adjusted free cash flow was $181 million, better than planned on account of the outperformance of adjusted EBITDA and the timing of CapEx, partially offset by changes in working capital items. With the continued strength of our operational performance, we are able to raise our guidance for the year yet again and now expect to be at or above the high end of the previously reported ranges. Specifically, we now expect full year revenue to be between $6.575 billion and $6.6 billion and adjusted EBITDA to be about $1.975 billion, over $50 million more and nearly 3% higher than our original guidance for the year on a constant currency basis. Adjusted free cash flow remains at $750 million as the incremental adjusted EBITDA is offset by incremental working capital and cash interest. While the incremental M&A expected to be completed before the end of the year will have minimal contribution to the 2025 results, it will add to the nearly 150 basis points of acquisition revenue rollover already in hand. Additionally, the continued ramp of EPR in '26 should add another 75 basis points of incremental revenue growth in next year. And while we will wait until February to provide our detailed guidance for '26, we remain confident in our ability to deliver on GFL's multiyear growth trajectory that we laid out at our Investor Day. I will now pass the call back to Patrick, who will provide some closing comments before Q&A.
Patrick Dovigi: Today, we're keeping it short and sweet as we think the results speak for themselves. Our focus is singular and our path forward is clear. Even in the face of uncertain economic environment, the setup for 2026 is simple and clear. We are very confident in our operating plan as you have witnessed quarter after quarter. Our M&A pipeline has never been stronger, and we now have the balance sheet that allows us to keep repurchasing our own shares at what we believe to be dislodged prices. I will now turn the call over to the operator to open the line for Q&A.
Operator: [Operator Instructions] We have our first question from Sabahat Khan from RBC.
Sabahat Khan: So just on the guidance update, can you maybe just walk us through some of the puts and takes reflected in the guidance uptake? I think there's some upside in the Q3 results, but just wondering how you took into account M&A, FX and some of the moving pieces and sort of how comfortable you are with the guidance uptick.
Luke Pelosi: Sabahat, it's Luke. Great question. Obviously, something that in this environment, we're very pleased to be able to come for the second time this year and push the numbers even sort of further up. Now if you think about the year as a whole, right, initially at the top line, we had guided at the midpoint about $6.525 billion of revenue, and if you use the constant currency FX, that would have equated to about $6.625 billion for the year as a whole where we're at today, but roughly $100 million incremental. So I'll just take the translational impact of FX out of the equation for a second. And if you think about that $100 million, really, what we have happening at the pricing line, we've now taken pricing up to close to 6%, nearly 75 bps higher than where we started. So you have sort of $40 million to $50 million of incremental pricing action is a good guide. That's largely offset by the fuel surcharge and commodity-related headwinds that you've seen through the industry for the year, pretty equally offset. So you have about $40 million to $50 million negative coming from that. Then you have the volume story. Now volume for the year is going to be plus or minus 25 bps. We're pleased to be able to report that we're going to be slightly positive on volume. But really within that number, again, you have puts and takes. Our EPR ramping has outperformed, and we're enjoying excess benefit from some transitional contracts that have come on faster than anticipated. And obviously, offsetting that is some of the C&D and construction-oriented materials that Patrick alluded to in his opening remarks and consistent with the industry as a whole. And then you have the M&A, right? So very pleased that we've been able to acquire about $200 million of annualized revenue for the year. And roughly, you're going to recognize half of that in year and half is going to sort of roll over. So that's really driving the majority of that raise, but very interesting and happy to see the benefits of our strategies being able to overcome the real industry-wide headwinds that have been present throughout 2025.
Sabahat Khan: Great. And then just for my follow-up, I guess, maybe just recap where we are on the EPR runway and it looks like it's starting to contribute. But maybe if you can just walk us through kind of the wins you have, how much of that is starting to roll in and how much more is likely to come through 2026 and beyond?
Luke Pelosi: Yes. So Saba, just continuing with what I just said, I mean, this year, we've had sort of great outperformance coming from EPR. And what we have spoken about for each quarter is how the Canadian, both price and volume has been enjoying uplifts as all these EPR contracts are coming online. And as I alluded to, we're seeing transitional arrangements whereby our customer base is asking us to do larger quantities of volume or start doing work earlier than initially anticipated. And we're, therefore, enjoying an acceleration of the realization of those EPR benefits in '25 on amounts that were otherwise going to be coming in '26. Now where we sit and what I said, it's looking like '26, we're going to have an incremental roughly 100 basis points of top line rollover from incremental EPR revenues coming online, offset by the reduction of some of these transitional contracts that I spoke to. And so you're going to get this net 75 basis point impact rolling into '26. As we've kept alluding to, there's still smaller opportunities that we continue to pursue, which could be additive to those numbers. But feeling really good to be entering '26 in addition to our normal course organic growth, normal course M&A to have this incremental tailwind of roughly 75 bps at the revenue line, which, as we said before, will be margin accretive to the business as a whole and certainly to our Canadian segment, which is very quickly closing the gap on that blended margin, and you're seeing it consistently trend at north of 30% margins.
Operator: We have our next question from Kevin Chiang from CIBC.
Kevin Chiang: Congrats on a good Q3 there. I know we'll wait until, I guess, February when you provide 2026 guidance. But maybe if I just look at some of the moving parts, and I appreciate some of the top line comments you provided, Luke. But if I look at your run rate EBITDA at the end of Q3, and I know there's a bunch of moving parts in there. But I take that and look back to your Investor Day in terms of the growth you expect organically and what you can get from an M&A perspective. It seems like a run rate EBITDA of just over $2.1 billion could be close to $2.3 billion next year. Maybe some incremental M&A needs to be completed to get there. But just, I guess, how do you think about that directionally, just given the strength you're exiting Q3 and 2025.
Luke Pelosi: Yes. Great question, Kevin. Thank you for the comments on the quarter. Look, the run rate number being reported right now is a little bit skewed by virtue of the inclusion of some of these large EPR collection contracts as you're actually getting that number included in your run rate metric this year, even though the sort of performance will come throughout 2026. So I think to grow organically off that number, you're effectively double counting a little bit. But the way I would think about next year and without forcing us to give you our guidance, what we've said is we're going to enjoy periods of outsized margin expansion over the near term as we execute on our strategies and realize the benefits of the self-help levers. So the guidance we've just given for this year, you're ending at 30% margin, right? I think the revenue building blocks we just gave, you get to a revenue number that's north of 7% -- starts with the 7% and our margin expansion on that outside, I think you should be banking on something north of 50 basis points. So when you put that all together, I think on the 1975 of EBITDA that we are guiding for the current year, there should be a double-digit growth number coming on that, consistent with what we said at Investor Day. Now as Patrick said, there's a very healthy pipeline and stuff that we're actively working on and any incremental acquisition activity would be additive to that. So I think if you take the building blocks, you can -- where you sit today, see a 10% EBITDA growth before considering the impact of any incremental M&A or the recovery of some of the industry-wide headwinds, namely commodities and volumes as all of that will be upside to where we sit today.
Kevin Chiang: That's extremely helpful. And maybe just a follow-up here. I noticed your SG&A intensity as a percentage of revenue, it was if my math is correct, down about 80 basis points quarter-over-quarter. And I think that's the best we've seen since you've gone public. I know you've been shifting the portfolio a bit here. But just maybe thoughts on SG&A trends over the medium term here. It does feel like you're starting to get some of that cost absorption benefit you talked about at your Investor Day.
Luke Pelosi: Yes. Thanks for noticing, Kevin. But I mean what we're excited about is not just on the SG&A line. You're right, you have that 70, 80 basis point improvement in SG&A. But if you look at labor and benefits, our main cost category, you had 40 basis point improvement there. The R&M cost, you had about a 50 basis point improvement. So it's really across all the cost categories. And you're seeing that coming through, and it's a function of obviously improving labor turnover, which is the narrative you heard throughout the industry, and we're certainly realizing that as well, which is certainly coming through in the cost. But it's also just leveraging the infrastructure and cost base that we put in place. I mean, as we spoke about before, effectively, our corporate cost segment, which was trending down towards 3% with the divestiture of ES jumped back up north of 4%. And now you're getting the operating leverage, both organically as you execute on our price-driven growth strategy, but also inorganically, right, because we don't really need to add to that supportive shared services and broader executive infrastructure to accommodate the incremental M&A contribution that's coming online. And so you're going to see the operating leverage. I think we're set up to print the corporate segment at a sort of 4% of total revenue this year, and that's going to continue to trend down. And I think that's part of our excitement as we go forward over the near to medium term is that we have the cost in place and the scalability, and we can now execute on both our organic and inorganic growth initiatives and be able to leverage these relatively fixed cost basis. So thanks for the question, Kevin.
Operator: We have our next question from Stephanie Moore from Jefferies.
Stephanie Benjamin Moore: Now Patrick, I think you've been pretty open about your view on just the underlying value of shares. And I think you've taken pretty decisive actions to unlock value, whether it's selling ES or GIP and anything else here. So as we think about where the business stands today, are there any other actions that you would consider that you believe would further unlock value for shareholders?
Patrick Dovigi: Yes. I mean I think when you sort of sit and look at it, everyone said what's the relative value of the business. And I think we clearly demonstrated that the multiples that these businesses are trading at today, when you look at the crown jewels of all of our asset bases, I'm not just talking about GFL specifically, but just the industry in general and where valuations have trended, I think we've been handed -- the industry has been handed a bit of a bad deck of cards today. I mean if you look at the results of all the companies across the sector, even in the face of this economic environment, it's certainly overdone in my view. And if you look at the valuations in the private market and private capital and the returns that can be generated in the private markets, I mean, that's what should drive what the multiples of these businesses trade for. And I think today, it's clearly not right. And I think that's why even -- we execute on these transactions, exited those 2 businesses and kept meaningful equity stakes, but 15x to 16x for 2 businesses that I would say are slightly inferior to the solid waste business of RemainCo. That being said, it provides a great opportunity. And as you've seen, we bought back -- we anticipate that we buy back sort of between $2 billion and $2.3 billion of stock at the beginning of the year, and we've acquired -- we bought back $2.8 billion to $2.9 billion. And me as the largest individual shareholder, I think that's the best use of our capital today, and that's why we did that. That being said, we're obviously executing on continued the M&A pipeline. And I think in my closing remarks, I basically said what I said, which is very straightforward plan moving forward. We're very confident in our operating plan. We have a balance sheet now that we can execute on share buybacks with what we believe to be dislocated share prices. And our M&A pipeline since going public has never been better. So I think in the Investor Day presentation, we had a base number of sort of spending $750 million to $1 billion. I think next year will be an outsized year again. I think well in excess of $1 billion. So we've teed that up, coupled together with the rollover. I think at the end of the day, the stock will move at the appropriate time. Obviously, we don't control the share price. But when we see opportunities like this, we're going to lean in pretty heavily to own more of the company, and I want to own more of the company at these prices.
Operator: We have our next question from Trevor Romeo from William Blair.
Trevor Romeo: I wanted to maybe dig in a little bit more on your price metric for this quarter because it did seem a little different than the typical seasonal cadence throughout the year going up 50 basis points relative to last quarter. So maybe I missed it in the prepared remarks, but was there like a specific portion of your book that had really good results this quarter or any mix impacts? Or maybe you could just dive into the price a little bit more and what drove the improvement?
Luke Pelosi: Yes. Great question, Trevor. You're absolutely right. It does sort of defy the typical seasonal cadence, and that's really driven by sort of 2 pieces. So one is EPR. And as we're going through this transitional period, we are starting to have new contracts come on and recognizing price on that on a sort of off typical calendar perspective. And so you're seeing the pricing of that come through. And the Canadian pricing was a sort of high 6s number for the period and really getting benefit from EPR coming through, defying the normal course seasonal cadence. The other piece is -- you know, another part that we're really excited about is just the execution of the strategies that we sort of spoke so much at our Investor Day. And this is really realizing the latent benefit within our existing book, primarily related to ancillary surcharges, right? And we've sort of talked about that we are actively going to be ensuring that we are sort of paid the appropriate rates on the services we provide, and we are out there executing on that strategy. And so you're seeing that start to sort of ramp, which is providing incremental sort of support to our blended pricing line and something that is setting us up with a high degree of conviction for visibility of pricing as we go into '26. So I'd say it's both of those things together, Trevor, that underlying is normal course seasonality and then you have these bolstering in the second half of the year.
Trevor Romeo: Okay. That is helpful. And then for my follow-up, maybe just ask for an update on labor turnover. I think you touched on costs a little bit earlier, but maybe labor turnover specifically has been a good story across the industry. What kind of improvement have you seen so far this year? What do you think is possible next year? And how does that translate into the kind of wage inflation that you're seeing now and maybe heading into next year?
Patrick Dovigi: Yes. I think -- it's Patrick speaking. I think, obviously, it's trended in the direction that is very favorable. And with the unquantifiable costs with the lower turnover numbers that are relevant to the overall P&L, i.e., productivity, overall sort of performance, et cetera. But today, we're sitting at high teens today in the voluntary turnover line, which, again, as you know, in COVID, that sort of ramped up to north of 30%. If you look at historical averages pre-COVID, we were always around sort of 17%, 18%, 19%, and that's basically where we're sort of sitting today. We think, obviously, in this macro environment, that probably has the ability to continue to trend lower as labor pools have broadened in a lot of the markets. Not every one market is the same. But we saw markets where our best drivers are expecting above average increases and the driver pools are shrinking for high-quality drivers. But that being said, we feel very comfortable. The voluntary turnover line of sort of high teens is very comfortable. If we can trend towards mid-teens, obviously, there's going to be further improvement on the sort of margin line for us.
Operator: We have our next question from Shlomo Rosenbaum from Stifel.
Shlomo Rosenbaum: It's a really good quarter. And I'm trying to just get underneath the numbers a little bit more just to understand kind of the organic growth trends in Canada versus the U.S. I don't know if you could parse a little bit more about what's going on. You saw the organic growth in the U.S. trended down a little bit. I'm not sure how much of that was commodities prices coming down. But I was wondering if you can just kind of unpack some of the trends there and how that translated to the organic growth rates of the 2 different regions.
Luke Pelosi: Yes. Thanks, Shlomo. It's Luke speaking. Great question. As you see in the headline reported numbers across the segments, Canada did enjoy a higher overall organic growth number than the U.S. If you break the pieces apart, look at the pricing, both markets continue to sort of price at the levels we need to be. And I think both pricing in Canada and the U.S. was sort of north of 6%. I think low 6s in the U.S. and high 6s in Canada. And that's always blending to the general 6.3%. I'd say the uplift in Canada was really driven by the EPR contribution. And ex that, Canada would have actually been slightly lower than the U.S. as some of the sort of ancillary surcharge recognition we were saying is actually being realized in the U.S. at a faster rate than sort of Canada. Volume is really the differentiator between the 2. Again, Canada, positive volume once again and is really being supported by EPR, not entirely because even ex EPR, Canada still enjoyed positive volume, but I think EPR contributed about an incremental $15 million in Canada for the quarter, which certainly was a great support to an otherwise sort of sluggish macro. I'd say U.S., U.S. had negative volume for the quarter. It's really a function of the, I'd say, landfill C&D and special waste volumes and a little bit on the collection side. The special waste and C&D, while soft, I'd say, on a macro basis, you can still enjoy volumes geographically if you happen to be in an area where there is activity going on. There still is some activity, just muted. And I highlight that because, for instance, our Canadian business actually had positive special waste volumes in the quarter, whereas our U.S. business was negative, by negative 3% C&D and negative 8% special waste in the U.S. I'd say just sometimes luck of where your site is sort of located. But take away those things around the edges. I think underlying, we continue to see similar sort of organic trends in each of our markets, and it is that there is a softness in the broader sort of manufacturing-related industrial expansionary sort of CapEx spend and you're seeing that in your volumes. But underlying, our market selection continues to sort of bolster our volumes by being in the demographic regions where people are moving to. Our strategic investments in items of EPR and other are providing volumetric tailwinds and our pricing strategies continue to remain strong regardless of the broader macro environment.
Shlomo Rosenbaum: Okay. Great. And then I'm just trying to map the 4Q EBITDA guidance and implied going to the top end of the range. I guess from the midpoint would be $12.5 million. You've already exceeded expectations in the third quarter by $10 million and leaves you like kind of $2.5 million. You've done an incremental $25 million in M&A. It looks like pricing is better, incremental FX tailwinds. Can you just give me the puts and takes? It just seems to me that you're -- there's certain conservatism that might be in there and maybe that's it or maybe there's other headwinds on the commodities or things that I'm not fully able to calculate.
Luke Pelosi: Yes. So Shlomo, I think the issue is in the seasonal climates like Canada and other, it's difficult to just say whatever your H2 guidance was if you have outperformance in Q3, it therefore, all carries forward. Just going back to my comment I made on Canadian special waste volumes, we enjoyed a very strong quarter in Q3, and that may now actually result in some sort of softness in Q4. So I don't think it's appropriate to roll forward that 10%. Obviously, we have some sort of conservatism as we want to make sure that we can sort of deliver. But commodities is an incremental headwind coming against you. The broader sort of volumetric story doesn't seem to be improving anytime soon. And you got a really sort of tough comp that last Q4, you did enjoy a whole bunch of volume related to hurricane and other sort of special waste cleanup that we're not seeing sort of materialize. So I think it's an appropriate degree of guidance. Is there a little bit of conservatism in there? Sure. We hope to be able to do better versus doing worse. But I would factor in the commodity and just that timing cadence before just extrapolating the Q3 results to an expected outcome for the year as a whole.
Operator: We have our next question comes from Konark Gupta from Scotiabank.
Konark Gupta: I wanted to touch on the sustainability targets you guys set out at the Investor Day, specifically as it pertains to RNG, I guess. I mean the commodity prices, right, like they have been volatile this year so far and what you expect for next year. But I mean, it doesn't seem like the RINs are trending at the range that you guys were assuming back then, maybe they rebound next year. But do you need to reevaluate any of these RNG projects or investments as you consider the current commodity prices?
Patrick Dovigi: Yes. I think, again, everyone got a little bit -- and everyone seems to tend to forget where the RIN prices were when we actually embarked on these projects. We underwrote these projects had a $2.25 RIN. Yes, over the last couple of years, RINs under the last administration ran to $3 to $3.25, and that just made the profitability of those and paybacks of those RNG build-outs look that much better. But that being said, we always underwrote at $2.25. So we still feel very confident about where we are in terms of returns on invested capital, coupled together with obviously, bonus depreciation and other things that we were able to use on some of the build-outs just make the returns look that much better. As we articulated last quarter, we did slow things down a little bit, just ensuring that the administration wasn't going to make drastic changes to the program, which they didn't. So yes, we moved some of our RNG project build out 6 to 12 months sort of to the right. But from our perspective, we are -- we do have plans now to sort of ramp that back up, back half of this year as we started and now into next year. So we will restart that program. But from our perspective, at a $2.25 RIN, returns on invested capital are very good. Paybacks are still sort of 3 to 3.5 years versus the 1.5 to 2 years we were getting when RINs ran to $3 to $3.25. But if you look at the forecast of what a lot smarter people than me are forecasting in terms of the RIN program, people are forecasting back to high $2s, low $3s over the next couple of years. But that being said, our investment case is based on a $2.25 RIN. And even at a $2.25 RIN, we feel very comfortable about where the returns are at that.
Konark Gupta: Okay. That's great color. And Luke for you, I think on the leverage side of things, I mean, it creeped up, obviously, in Q3. And I think you're expecting to now finish the year around those levels, roughly speaking. But in terms of philosophy for leverage ratio, I mean, I think you guys have like the buyback opportunity has increased now given the stock price and the M&A kind of remains pretty high. I mean, would you be comfortable kind of like remaining in this range, like low to mid-3 or something for the foreseeable future, like as long as you have these opportunities?
Patrick Dovigi: Yes. I think as we articulated at Investor Day, as we continue to articulate, we'll be opportunistic, low to mid-3s is where we want to be, given the free cash flow generation, the free cash flow ramp over the next couple of years, we feel very comfortable operating in that space. And we have ultimate operating flexibility, as we said, one, to buy back shares; and number two, to execute on the M&A pipeline.
Operator: We have our next question from Bryan Burgmeier from Citi.
Bryan Burgmeier: Maybe just following up on RNG. Luke, I heard you call out the benefit for 2026 from the M&A rollover and the EPR. Are we still expecting another kind of incremental step-up from RNG next year? And then I think there's maybe a larger step-up into 2027. Is that still accurate?
Luke Pelosi: Yes, Bryan, thanks for the question. '26 is rather muted in terms of production volume. Now the incremental production volume really as you had facilities come online in '25 and are now fully ramped is probably offset by today's RIN pricing. So modest incremental amount in '26, but it really is '27 and into '28 when you get the sort of next leg up. So we'll put a pin in our guide depending on where RIN prices are at the beginning of the year when we speak in sort of February. But the expectation where I sit today is the modest incremental units of RNG will be offset by the year-over-year price declines. And it's really '27 and '28 where we'll get that next leg up in tailwinds.
Bryan Burgmeier: Okay. Yes, makes sense. And then just one more question for me. You've spoken a lot about price on the call, but maybe just any details on sort of the restricted price versus the open market price and how that sort of trended in the back half of the year? And if you have any preliminary thoughts on '26, that would be helpful as well.
Luke Pelosi: So look, I'd say our blended kind of pricing is typical cadence, what you're seeing open market commercial industrial is high single-digit numbers. your residential sort of restricted is on the lower end of mid-single digits. And then as you're getting renewals and contracts being reset to appropriate pricing for today's cost environment, you're seeing the higher end of mid-single digit, touching high single-digit price blending to sort of residential collection pricing in the higher end of sort of mid-single digit. Post collection, you're seeing that sort of healthy mid-single-digit sort of level. So we continue to like the industry, be constructive of the narrative that we need to move our restricted pricing off of CPI-related indices as it doesn't necessarily accurately reflect our underlying cost structure. I'd say we're in the nascent stages of that migration vis-a-vis some of our competitors, but certainly something that we're sort of supportive of, and we'll continue to sort of move forward. But I'd say we view the pricing in our industry continue to remain rational, disciplined and sort of healthy. And I think all of us are unwilling to give away our valuable services at rates that don't provide appropriate sort of levels of return. So we're going to continue to do that. As we round out the year here, we'll form a view on 2026 expected internal cost inflation, and you're going to see us pricing at a blended level in excess of that in order to generate the return that the shareholder group is looking for.
Operator: We have our next question from James Schumm TD Cowen.
James Schumm: Yes, I wanted to see if you could provide a little bit more color on those cost inflation expectations for next year. Should we be thinking about 4%? Or could it be as low as 3.5%?
Luke Pelosi: James, it's Luke speaking. I mean, we're going to wait until '26 before we form a view. I mean, where I sit today, I feel it's very squarely going to start with a 4%. I know sort of CPI may be doing what it's doing. But when you look at labor costs across the industry, notwithstanding the current labor market, those numbers are going to be north of 3% on a blended labor cost number. You start thinking about the potential delayed impact of some of these tariffs or other sort of regulations starting to bleed through into spare parts and other items. I think there's a very viable path where your cost inflation on those amounts is something higher than a mid-single-digit number. And then again, people focus on sort of labor and labor stand-alone. But when you think about medical costs and other benefit costs in the U.S., those are accreting every year at something well north of sort of 3%. So when you put that all together, I'm expecting a number that starts with a 4%, but we are going to wait until 2026 to put a finer pin in that, James.
James Schumm: Okay. And then just on pricing, are you trying to -- based on your earlier answer there, you're in the early stages of trying to move off CPI. Are you trying to move to CPI water, sewer, trash or is it -- would you want like just a 4% number? Or where are you trying to go with that? And then as we think about pricing next year, you're at roughly 6% this year, and you noted some benefits from EPR this year. Is that -- I mean, I think we're all expecting that number to be lower -- but do those onetime benefits mean that we see like a larger move lower because you won't have as much of those EPR benefits? Or just if you could give any help there, it would be appreciated.
Luke Pelosi: So Jim, I'll take the latter part, and I'll pass it to Patrick how we think strategically and moving...
Patrick Dovigi: Canada, I mean, breaking apart Canada and U.S. Canada obviously doesn't have sewer sort of water trash index. That being said, the trend we're seeing in Canada is -- and what we're pushing for is going to Luke's point, headline CPI is not reflective of the true cost of our business to operate our business. So what we're pushing for a lot of the contracts are fixed price increases of high 3s to 4%. If we don't see that, then we're pricing it in day 1. I think we're articulating the story to our customers that, hey, we need this price in order to continue to be competitive and give you the best service that you've been experiencing to keep the best drivers. And that has been received fairly well. This is more of a phenomenon on the sort of on the municipal collection side as well as sort of the landfill transportation processing facilities because obviously, on the commercial book, we can price where we need to be based on what we believe our CPI is internally at the time. But yes, and obviously, in the U.S., wherever we can, we obviously want to move to a more favorable index than CPI, which is not reflective of our sort of business cost. But that trend is sort of happening. It's been more of a West Coast phenomenon, truthfully in the U.S. than it has been on the East Coast. But we are looking for the same type of opportunities that we -- that exist in the West Coast move to the East Coast. And whether that's fixed pricing, whether that's moving to another index, or whether it's pricing it in sort of day 1, we are sort of finding that solution.
Luke Pelosi: And then, Jim, on your second part of your question, as you think about next year's pricing, high level, you're absolutely right. This year, you're getting the benefit of the sort of EPR ramp manifesting in the pricing line. The incremental ramp next year will be manifest more in the volume line. So you can think between 75 to 100 basis points of this year's price is by virtue of incremental EPR ramp. So if you were to sort of back that out on the basis, you'd only be getting a portion of that next year. Yes, you would be looking at a pricing level something closer to 5% than the 6% that you're having today just on that math alone. But again, we'll save our detailed pricing guidance until we speak to you again in February.
Operator: We have our next question comes from Michael Doumet from National Bank of Canada.
Michael Doumet: Just going back to pricing, the incremental price recognized in Q3 versus Q1 60 basis points. How much of that was recognized from surcharge implementation? And again, I'm just curious how much more is there to go get? And would that flow through into 2026 incremental to whatever underlying price expectation?
Luke Pelosi: Yes. Michael, it's Luke. Thanks for the question. Look, the surcharge absolute quantity it gets complicated as you think about sort of volumes puts or takes and volumes attracting a different degree of surcharge. But holistically, I think we said in the Investor Day, there was a $50 million to $60 million price. Forgive me, I might be a little off, I'm not trying to recast the guide. whatever the number we had said in the Investor Day, I don't have it right in front of me. I think the idea was we're going to ratably recognize that over the next sort of couple of years. I think we've had great success in 2025 and starting the recognition of that earlier than anticipated. And so you're seeing that come and sort of support the overall pricing number this year. But we remain well on track to realize that overall price as it relates to ancillary charges that we had articulated over that sort of '25 through '28 period.
Michael Doumet: And Patrick, you made some remarks on first half '26 M&A. And given the second half '25 looks to be pretty deal heavy, I would have thought maybe that you would be working down your M&A pipeline into the year-end. But from your comments, it sounds like you're actually going the other way and potentially entering '26 with a healthy pipeline. Is there anything specific driving the larger pipeline or more of the activity that maybe larger deals that you can comment on?
Patrick Dovigi: Yes. I think we spent the last half -- sorry, the last quarter of '24, really focused on repatriating capital and simplifying the business, which was really coming up with a plan for the EES business and completing that transaction, which was an $8 billion transaction. And then around GIP and which we always said. So we spent the first half of '25 focusing on those divestitures, which got executed. We said the M&A pipeline for GFL would be back half of '25 weighted, which you're seeing. We had a high level of confidence given the pipeline that we had built the stuff that was going to close in '25 or H2 sort of '25. And then when I look at H1 '26, again, these are all opportunities that we've been working on for a long period of time, relationships we've been fostering for a long period of time, sellers that want to deal with us. These are not bank run processes. These are opportunities that are sourced by ourselves with relationships from either myself or the team sort of in the field. And where I sit today, I think as we said at our Investor Day, $750 million to $1 billion would be the sort of average spend and there would be years where there would be a higher level of M&A. And I think when I look at what we have teed up for H1 of next year and then opportunities that are in the hopper, I think we're going to have a bigger year on M&A next year than we've had this year. And I think that could be 50-plus percent higher than what we did this year. So we feel very comfortable with that. Again, back half of '25, as you're seeing and what we've articulated has been strong. And first half of next year looks to be very strong as well and a lot of opportunities that will backfill into the second half. So we're feeling very good about the M&A pipeline for next year. And as I said, it's -- for us, in the markets where we want to be, again, focused on opportunities that are in existing regions where we can leverage existing infrastructure, we believe those are going to get the highest returns on invested capital for us. And that's where we're focused, and that's where we're focused on executing. We're not looking to buy a business in a new geography at the moment. These are all things within the existing footprint that work with our existing footprint that we can leverage those post-collection assets, and that's what we're focused on.
Operator: We have our next question comes from Tobey Sommer from Truist.
Tobey Sommer: I want to follow up on that M&A comment for next year. I'll just clear pricing for now. Given the more permissive U.S. antitrust posture, is that a factor that could lead to larger deals for GFL or maybe within the industry over the next 3 years?
Patrick Dovigi: If you're thinking about a mega merger, now is probably the time. I don't think, from my perspective, much has changed in terms of the HSR and the regulatory environment under the old administration, the new administration. That being said, 95% to 99% of deals that we do don't even require HSR approval because they're under the threshold. So the lion's share of what we do is falling under HSR. Yes, we might have 1 or 2 that exceed. But from where we sit today, we haven't seen much of a change. But I think if someone was trying -- wanting to do something much larger, this would probably be the administration to do it under.
Tobey Sommer: Appreciate that. And then curious what you think the upper bound as a percent of sales you think the business can have associated with commodity-related areas within the portfolio and still warrant that higher multiple versus the current dislocated price.
Patrick Dovigi: Yes. I mean commodities today are sort of a relatively de minimis number. I mean, not only for us, but sort of for the rest of the industry. I mean what do you have going in that bucket? You have RNG today that would have a little bit of volatility and then you have sort of all the recycling volumes. I think today, where we all sit today, I think the entire industry is that sort of sub-10%. These are very good margin accretive assets that we want to own regardless. And I think most importantly, meets the returns on invested capital thresholds that we all basically run our businesses on. So from my perspective, again, do you want to have that number 20%? Absolutely not, but anywhere sort of in the 10% to 15% range, I think is more than comfortable, particularly with the structures that we all have today.
Operator: We have our next question from Chris Murray from ATB Capital Markets.
Chris Murray: Turning back to some of the self-help initiatives and thinking about this, you go back to the Investor Day. And at the time, your CEO had been in the chair for about a month. Maybe had a little more time to think about the operation, and look, there was all kinds of levers. There was technology, there was turnover, pricing strategies, things like that. But just thinking about ideas as we go into 2026, where do you feel you are on the self-help levers at this particular point? And are there any new opportunities you're starting to uncover or think about doing? I guess what I'm trying to figure out is where we are in the margin kind of catch-up or progression against the rest of the industry and anything you think you can do on the MSW business to drive margins over the next couple of years?
Luke Pelosi: Chris, it's Luke. Great question and something that hopefully, we're demonstrating we're sort of delivering on quarter after quarter, continuing to lead the industry with the margin expansion and being able to beat our -- the guide that we lay out that's already inclusive of industry-leading expansion. But you said Billy was in the seat for just a month. I mean, Billy has been here with us for years and has been an active sort of member of the operational and senior executive leadership team all that time. So it's not as if we put together that sort of plan with imperfect information per se that has been sort of well crafted and Billy was an author of that over the sort of years leading up to that Investor Day presentation. So I'd say our strategies and/or focuses have not changed. In Patrick's remarks, you heard him say that we are clear and our focus is singular, and I would echo that. Those are what we believe to be the highest and best use of our time and efforts in terms of award that's going to come out, so it is the area of focus. In terms of the cadence by which we are realizing that, look, every quarter with which we exceed our otherwise provided EBITDA guidance, we are doing better than a pro rata ramp, right? So if you say in that presentation, we said we're going to go from X to Y from '25 to '28. Well, this year, we've now just added 20 basis points to our margin expansion that we said at the beginning of the year. Well, that puts us that much further sort of ahead of the curve. So we're feeling really good. I don't think the levers are going to materially change over this window of the medium term. Those are going to be the things you're going to hear us talking about. It will get boring, but hopefully, the sort of results are anything but that. So I'd say we're feeling very good about our progress towards those goals. And as Patrick alluded to, the setup we have going into '26 makes us feel that we'll get even further ahead of that otherwise pro rata cadence.
Operator: We have our next question from Will Grippin from Barclays.
William Grippin: Just one question for me here. I wanted to come back to leverage. Obviously ticked up a little bit quarter-on-quarter on a trailing 12-month EBITDA basis. Just given your comments around possibly ramping share buybacks here and a very strong M&A pipeline and outlook into 2026, how should we think about maybe the trajectory of that leverage ratio over the next several quarters? And I know you kind of reiterated the low to mid-3x target, but should we think about this not being sort of a straight line down? Maybe there's more variability quarter-to-quarter just around actual capital deployment?
Patrick Dovigi: Yes. I mean leverage, again, we spent time moving leverage from low 4s to low to mid-3s. And I think we've made a commitment that we will keep leverage that will toggle between low 3s and mid-3s. So you'll see us reinvesting the free cash flow of the business based on those sort of leverage targets. So that's what we're focused on.
Luke Pelosi: Yes. Well, I mean, there is a seasonal cadence, obviously, naturally with the free cash flow. Q4 is a higher free cash quarter. And so you'll see the generation and the reduction in debt coming out of that. But then buybacks and M&A can sort of augment that otherwise organic cadence. But in a given year, it's not going to be perfectly straight line because the pace of M&A and/or buybacks and/or just general underlying free cash flow won't be a perfect straight line. But I think what you hear is the sort of absolute commitment to live in and around these ranges. And obviously, if there's a higher level of sort of M&A at one point, then you afforded the opportunity to sort of temporarily pause as you then bring leverage back in and so on and so forth. So it's not going to be perfectly straight, but it will be absolutely committed over sort of 4 quarter period to live within the sort of ranges that we're talking about.
Patrick Dovigi: Well thank you, everyone, for participating today. And -- sorry, operator, is that the end of the last question?
Operator: Yes. Thank you.
Patrick Dovigi: Okay. Thank you, everyone, and we look forward to speaking with you in February when we report our full year results and giving our full outlook for 2026.
Operator: Thank you very much. This concludes today's call, and thank you for your participation. You may now disconnect your lines.